Operator: Good morning, and welcome to the WildBrain Fiscal 2020 Fourth Quarter and Full Year Earnings Call. [Operator Instructions] I would now like to turn the call over to Nancy Chan-Palmateer, Director, Investor Relations at WildBrain. You may begin your conference.
Nancy Chan-Palmateer: Thank you, operator, and thank you everyone for joining us today. Speaking on the call today are Eric Ellenbogen, our CEO; and Aaron Ames, our CFO. Also with us and available during the question-and-answer session are Josh Scherba, our President; and Danielle Neath, our EVP of Finance and Chief Accounting Officer. First, we have some standard cautionary statements. The matters discussed on this call include forward-looking statements under applicable securities laws with respect to WildBrain including, but not limited to, statements regarding future investments by the company, the impacts of COVID-19 on the company and its business, the business strategies and operational activities of the company, and the future financial and operating performance of the company. Such statements are based on information currently available and are subject to a number of risks and uncertainties. Actual results or events in the future could differ materially and adversely from those described in the forward-looking statements as a result of various important factors, including the risk factors set out in the company's most recent MD&A and AIF. Please note that all currency numbers are in Canadian Dollars. For the question-and-answer session that will follow, we ask that each analyst keep to one question with one follow-up, so that everyone has a chance to ask questions. If you would like to ask an additional question, please rejoin the queue. Please note that we are all in separate locations for the call today, so we do appreciate your patience as we encounter any lumpiness as we steer through the Q&A. I will now turn the call over to our CEO, Eric Ellenbogen.
Eric Ellenbogen: Thanks Nancy. Good morning everyone, and thank you everyone for joining us today. I hope you continue to be well. This month earmarks one year since I joined WildBrain and to be sure it's been an eventful year and I'd like to commend our global team for rising to the challenges and opportunities that we faced as a company during the past 12 months. But before I dive in, I'd like to acknowledge that diversity and inclusivity are front of mine for everyone at WildBrain. These are core values for us. And we've begun the important process of reviewing our diversity and inclusivity policies and practices across the company. We see this as critical to everything we do as content creators and as brand builders for not only today's kids, but future generations as well. It's meaningful for us to know that our content and brands are providing much needed comfort and entertainment to families around the world. And in the face of global economic and social uncertainties, we're seeing strong demand for our content and premium production capabilities, as well as the endurance of our television and consumer products businesses. We've been very active in reorganizing and realigning the company to intensify our focus on creativity, digital media and brands. And we've made great strides towards these goals and I'd like to recap some of those advancements. First the rebrand of the entire company as WildBrain has been extremely well received, both by our employees and by our partners and customers across the entertainment industry. The rebrand was not just cosmetic, it signaled for us cultural reset across the company, unification of our global operations under a shared identity with common goals and increased collaboration. As part of the reset, we implemented a top down global reorganization to ensure we are investing in resources for growth. And I'm really thrilled at the level of talent we've been able to attract so far. I'll touch on a few of those key appointments. Michael Riley joined us as Chief Brands Officer, and is now working with our new brand management team to spearhead our long-term strategy to build and reinvigorate our key brands. We welcome Deirdre Brennan as EVP of Content Partnerships, and she has led the reorganization and integration of our distribution and TV businesses, bringing on new leadership to drive strategic rights, curation with our global partners. We also recently established a new China business with the appointment of our Managing Director, Jianbo Wei, who is building a content and licensing team to drive growth and collaboration in that important region. We appointed Steve Manners as VP of Biz Dev, to lead collaboration between our licensing agency WildBrain CPLG, and our AVOD network on YouTube WildBrain Spark. This is now beginning to bear fruit as we cross-sell paid media, digital advertising and licensing services to third-party IP owners to fully support their brands. Charles Gabriel came on board as VP Advertising Sales to lead our digital direct ad sales in the U.S. market, and we continue to build out that ad sales team. And finally, Aaron Ames was appointed CFO; Danielle Neath, was named Chief Accounting Officer and they have led a reorganization and streamlining of our global finance function. So these and other changes have had a profound effect on the company. Collectively, they've led to increased collaboration across the business, in a more nimble and indeed, entrepreneurial organization. It's worth repeating that all of this has been driven by our long-term strategy to focus on creativity, digital media and brands. But before I touch on each of these priorities, I'd like to frame briefly what this all means from a near-term results standpoint. As you know, we've focused on long-term growth, and we don't give annual guidance. We believe this remains the right approach for now, as it's important for us to have the flexibility to make the necessary investments across the organization, as well as the patience to find the right partners and make deals on the right economic terms instead of rushing deals to meet short-term earnings objectives. That said, last year we committed to delivering growth year-over-year and adjusted EBITDA. That was before the [one two] economic punch of COVID and Made for Kids changes. And in spite of these significant headwinds, we delivered on the commitment albeit modestly. And looking towards 2021, while we expect to continue to see these two issues as potential headwinds to our near-term performance, we believe once again we can deliver at least modest growth year-over-year as we invest in and execute on our plans to drive accelerating long-term growth. In fact, even as the global commerce decelerated in March, we sharpened our focus, and we're delivering on the priorities of creativity, digital media and brands, and the momentum continues to build. So let me walk you through some of the progress we've made. Creatively, we've significantly upped our game. We're working on new content with a host of top tier talent. New to our organization, including animation artists, creators, writers, directors, and live action producers. For example, Snoopy in Space was one of the most popular shows on Apple TV+ and our Vancouver Studio is in full production on additional Peanuts content for Apple. We're also in production on two new original seasons of Johnny Test exclusively for Netflix. In partnership with DreamWorks, our studio is producing a brand new series based on the classic children's book, Go, Dog. Go! Our original animated preschool series Chip & Potato is a hit with the young viewers on Netflix and has been renewed. This is becoming a full-fledged brand for us for which we intend to exploit consumer products. In live-action, Malory Towers which is a coproduction with U.K. partners King Bert Productions, and the CBBC has been licensed to telecasters and streaming platforms in over a dozen territories, including the U.K., U.S. and Canada and it's rolling out with great success. And we have a robust development pipeline, including the new animated Green Hornet series in development with acclaimed filmmaker, Kevin Smith. So, we rebuilt our creative pipeline to align with the shift in the industry towards global deals for premium content. Our premium franchises command premium prices and have established a new baseline of earnings from which will grow. It's important to realize that these deals take time to play out in our numbers. As we add to our book of production business, it takes a number of quarters for revenue to work its way through the financials. You're seeing evidence of this in our growing production revenue over the past eight quarters as big projects, such as the new Peanuts content for Apple TV+ ramp up to full run rate. There's a lots more in the works so watch this space for content announcements to come as we expect to continue adding to our core earnings space, with more premium content deal. Also, it's important to note this is only part of the story. This is only the production related earnings stream and doesn't reflect the significant earnings contribution that these new content deals can drive and associated library sales and consumer products lift which are all substantially I should say they're all margin. We see production growth as a leading indicator for future earnings contribution from these high margin categories. Turning to digital media, we continue to invest in our market leading AVOD business WildBrain Spark. We recently completed a $25 million financing with the support of our largest shareholder Fine Capital. We have a pipeline of opportunities, many of which we expect to consummate in the coming quarters. This new fund allows us to finance accretive investments, especially in WildBrain Spark, which capitalize on WildBrain Spark’s growing audience. As an example, views at WildBrain Spark were up 35% over the prior year to 44 billion and this amounts to 240 billion minutes of video watched on the network, which is up 45% from last year. We've started to see some modest improvements in advertising rates and revenue at WildBrain Spark. Following declines precipitated by the Made for Kids changes at YouTube, and by COVID-19 impacting global advertising. Advertising dollars are beginning to flow back into the market ahead of the holiday season and our direct sales efforts are seeing early success with media agencies and advertisers. And in recent weeks, we've been conducting new optimization trials for ad placement on our network, which are contributing, promising initial results. We’re optimistic and we're building our direct ad sales team to be in a position of strength as the market returns. And what hasn't changed is advertising dollars follow eyeballs and at 4 billion views per month, WildBrain Spark now has one of the largest and most engaged global audiences in the kids and family space. In fact as measured by audience size, our AVOD network has now eclipsed many top kids U.S. cable networks by reaching an average of 16 million unique American viewers monthly. And in terms of watch time, WildBrain Spark is number one. As AVOD continues to overtake cable to become a preferred viewing destination for kids and families, our extensive audience reach and deep engagement presents a huge opportunity to capture a larger slice of the $4.5…
Nancy Chan-Palmateer: Hello operator, we have lost Eric, please bear with us please.
Eric Ellenbogen: Hello.
Nancy Chan-Palmateer: Eric is on the line. Please bear with us. There you go, Eric. Maybe lost you there for a moment.
Eric Ellenbogen: All right, okay so I'll just pick up again that - at 4 billion views per month, WildBrain Spark is one of the largest and most engaged global audiences in the kids and family space. In fact by audience size, our AVOD network has now eclipsed many top kids U.S. cable networks by reaching an average of 16 million unique American viewers monthly. And in terms of watch time, WildBrain Spark is number one. As AVOD continues to overtake cable to become a preferred viewing destination for kids and families, our extensive audience reach and deep engagement present a huge opportunity to capture a larger slice of the $4.5 billion per year spent globally on kids advertising. WildBrain Spark is the destination to reach kids around the world. It has also seen an increase in the commercial deals with third-party IP owners who recognize the opportunity that WildBrain Spark represents on YouTube as an essential platform for reaching kids and families. In the past linear TV has been the primary driver of kids’ brands, but we've known for some time now that AVOD was poised to dominate in the kids brand space. We've positioned WildBrain Spark to leverage this opportunity and our toy companies and content owners are increasingly turning to us for digital first content, and paid media strategies to support their brands. As an example, we're deepening existing partnerships with companies such as Mattel who have engaged WildBrain Spark, in a digital first content strategy to help launch their latest stall brand Cave Club. And in addition to Mattel, we've added new partnerships with IP owners, such as Park Star Media, Funrise Toys and Zag. And these and other commitments support our widely held view of the growing importance of AVOD to support kids’ brands. And turning to our own brands now, our Peanuts business is maintaining considerable strength in consumer products. October 2 marks the 70th anniversary of the beloved Peanuts comic strip from Charles M. Schulz. And we have some great programs rolling out at retail. Classic brands, especially Peanuts have been particularly resilient even in the times of COVID. I'm going to be circumspect about our other brand activities only because our programs are still in early stages. But what I will say is that we're building and implementing rollout strategies that encompass social media, gaming, celebrity partnerships, events, content and consumer products for four key properties now, Strawberry Shortcake, Teletubbies, Chip & Potato and In the Night Garden, and I look forward to sharing more once these programs gain momentum. And finally, before handing the call over to Aaron, I'd like to congratulate the team at our global licensing agency WildBrain CPLG, who were recently named the Agency of the Year by their peers at the 2020 International licensing awards. And for those who don't know, those awards are the licensing industry's equivalent of winning the Best Picture Oscar. WildBrain CPLG has had a banner year, and this recognition is hard won and well deserved. So I'd like to offer congratulations to our Managing Director, [Martin Wack] and his team. With that over to Aaron.
Aaron Ames: Thanks Eric. In the last year, we've improved our financial flexibility to invest and grow our business. We redeployed $10 million in cost savings from our reorganization initiatives to invest in growth. We completed a $60 million rights-offering $50 million of which was used to reduce debt with the balance for growth. And we raised $25 million in growth capital, especially for investments in our AVOD business. Turning to the quarterly and annual results revenue in Q4, 2020 was $92.9 million compared with $108.8 million in Q4, 2019. This decrease was primarily driven by declines in ad revenue at WildBrain Spark the result of changes in Made for Kids content policy made by YouTube and the negative advertising impacts of COVID-19. Consumer Products-Owned was also impacted by COVID. The collective declines were partially offset by high production revenue, which increased 46% quarter-over-quarter to $26.3 million driven mainly by premium proprietary content in our animation studio. Revenue for fiscal 2020 was down 3% to $425.6 million versus fiscal 2019 primarily due to decreases at WildBrain Spark and in our consumer products-owned business. Net income in Q4 was $4 million versus a net loss of $62.8 million in the same quarter last year. This increase was largely driven by lower SG&A, lower non-cash impairment charges and a higher non-cash foreign exchange gain in Q4, 2020, compared to Q4, 2019. For fiscal 2020, we posted a net loss of $236 million versus a net loss of $101.5 million last year. This was primarily due to a non-cash goodwill impairment charge of $184.5 million recorded in Q3, which was taken due to the impact of advertising revenue from YouTube changes to targeted advertising as well as the impact of global economic uncertainties arising from COVID. This non-cash charge had no impact on our distributions, cash flows or our ability to meet that obligations and it does not reflect the long-term potential of our assets and business. Free cash flow for Q4, 2020 increased to $9.3 million, compared to $4.1 million in Q4, 2019. For fiscal 2020, we generated positive free cash flow of $27.1 million versus $10.4 million in fiscal 2019. The improvement in free cash flow were driven by implementing our investment strategy related to our content production requiring less cash outlay due to our targeted production slate as well as by better management of working capital, including higher tax collection of tax credits and trade receivables in fiscal 2020. Adjusted EBITDA in Q4 was $18.7 million compared with $20.2 million in Q4, 2019. Adoption of IFRS 16 positively impacted adjusted EBITDA by $2 million in Q4. Normalizing for this impact adjusted EBITDA declined $3.4 million compared with Q4, 2019. Adjusted EBITDA for fiscal 2020 was $81.8 million versus $79.6 million in fiscal 2019. IFRS 16 positively impacted adjusted EBITDA by $8 million in fiscal 2020 while the first quarter of fiscal 2019 benefited from $1.3 million related to a higher ownership stake in Peanuts for part of that quarter. Normalizing for these items, adjusted EBITDA declined by $4.5 million in fiscal 2020 versus the prior year. Now, I'll hand the call back to Eric.
Eric Ellenbogen: Hey thanks, Aaron. My first year with WildBrain has been energizing and eventful to say the least. We've accomplished a great deal in the last year. And while there's still work to do, our team has much to be proud of. I feel sure we're making the right moves and advancing the right projects to realize the full potential and value of our assets. We've also got good visibility on our core earnings numbers. We're building on this EBITDA base with a strong pipeline of content deals that will drive production revenue, and generate significant incremental returns across our distribution and licensing platforms, all part of our 360-degree approach to asset monetization. We expect to layer on more large recurring revenue deals as we move forward to continue to both grow and enhance the predictability and the quality of our core earnings. In fiscal 2021, we're building on the success of the last 12 months. And we'll continue to execute on our long-term strategy by creating premium kids’ content with our priorities focused on once again, investing in talent and supporting creativity across our business in growing key brands, in monetizing our large audience on WildBrain Spark and improving our cash flow and balance sheet. So with that, let's take some questions.
Operator: [Operator Instructions] First question comes from Aravinda Galappatthige with Canaccord Genuity.
Aravinda Galappatthige: I wanted to focus a little bit more on the direct sales opportunity, Eric that you touched on. Thanks for all the color, but I was wondering if you can build a little bit on what you think is the size of that opportunity. How many salespeople do you have set up as at this point? And then directionally what kind of tailwinds can we expect for fiscal 2021? And my follow-up for Aaron, just on the production spend for fiscal 2021, I know there was a little bit of growth in fiscal 2020 in terms of cash spend. I was wondering if we can expect a sort of a similar trajectory for 2021 as well? Thanks.
Eric Ellenbogen: So thank you for the question. And I'll take the first part, regarding ad sales and the sort of the status of what's going on at WildBrain Spark. So as to the size of the sales team, it's a build right now. And because we have offers out to specific people, I can't get into the scaling but it is a meaningful commitment on our part and one which reflects in our view the substantial size of the prize. Just to give you a little context to this. We've started to see ad rates recover in the period between the Made for Kids changes that YouTube and COVID. Because what was happening is the advertisers and the YouTube ecosystem and algorithms were getting adjusted. So we started to see pretty good progress there in kind of a return to and equilibrium and normal. COVID, and I think you know this so not just on our network, but across the board in AVOD and SVOD a huge uplift in viewing. And to our minds, sampling of our network by viewers that had not been there before, but then there was this contraction which was not unique to us in ad spend particularly because digital ad commitments are the easiest to pullback on when sentiment shifts but we still continue to invest in building our ad sales capability over the period, just to take advantage of the short-term revenue. But to be poised as I believe that we are now to take maximum advantage as the market returns and it's returning. So the market sentiment is that budgets were pulled in a lot of categories like travel, and we prioritize to sort of the second half and particularly heading into the holiday season of entertainment and toys. So in the markets where COVID is getting under control, we're definitely seeing a bounce back. And there is a clear correlation between CPMs increasing and the using of lockdowns and pickup definitively in entertainment and toys in the run up to the holidays, advertisers have to spend and we're investing in the mid-term in direct ad sales, and just constantly monitoring and keeping things in line with our business contingency plans. That's sort of the picture around ad sales. I hope that answers the question, Aaron.
Aaron Ames: Yes thanks, Aravinda. So, I guess I'll talk a little bit about free cash flow. And then I'll talk a little bit about production. So, we took deliberate steps over the last - couple of years to manage the cash flow profile of our business and to really take a strategic view of the type of investments that we want to make in order to better manage our balance sheet risk. So overall, we're very careful where we take the risk, and we want to make sure that we have appropriate returns. So that's why our cash flow profile has been improving. As far as production, we see this as a growth area for us. And we do have more visibility than we've ever had before as to our pipeline. And so, there will be some more spend for production. However, as you know, that is funded through specific debt for each production, so it doesn't really affect our corporate cash flow.
Operator: Next question comes from Adam Shine with National Bank Financial. Please go ahead.
Adam Shine: Eric, I know you're not giving any specific guidance for this year going forward, but curious in the context of what might be a ramp up in some of this sort of premium, proprietary production activity. Last year [49 half hour] proprietary deliveries versus 55, the prior year obviously a very big move maybe timing, but nevertheless a very big move in Q4? How should we think about, sort of the potential step up in deliveries, whether you can talk to this year, or maybe within the context of a sort of one to three year dynamic in terms of what could be, the sort of new normal? And then second, arguably a bit of a follow-up. You also mentioned in your presentation deck, is, efforts to do a bit more in the way of toy exploitation. We've seen in the past, some efforts in this regard, Teletubbies through Spin Master that unfortunately didn't necessarily go anywhere, but can you speak to, some of the efforts here, and what we might expect, perhaps, in fiscal 2021 in this area, and/or arguably heading into the back half of calendar 2021, your H1, 2022 okay? Thanks.
Eric Ellenbogen: All right, thanks Adam for the question. And I'm going to ask Josh to participate in this as well, speaking to the production of ramp up. One thing I would say is that the metric is not necessarily around the quantum of half hour equivalence produced, because the thing that we're seeing both in the market, and the attractiveness of our content is that it's going premium. And that means that the - revenue per episode increases. As far as I'm concerned, the long tail, and value of those assets are enhanced. And the other thing that we're very focused on is content production that also drives library value. So it is a combination of new original productions, but also the harvesting effectively, of our library assets. And what I spoke to earlier is the knock on effect, which is considerable in terms of consumer products and ancillary markets. But, Josh, what if you - you can perhaps address this a little bit more specifically and again without giving guidance on and I'll just say one thing, the pipeline is robust. It takes a while to build. And I think that, when I came in, I wanted to take a step back, actually, because before anything was rushed to market, it was about having the right people in place. It was about brand plans, specifically and thought through to take full advantage of what have been very high performing assets in the past. And the brand visibility and recognition, these are great, but we got to get it right. And so what you're seeing now is, in my view the tip of the iceberg, in terms of what we've got going on behind this introduction. Josh, do you want to speak to any of it?
Josh Scherba: Yes, I would just reiterate, I think it was a really key point you made about the metric of half hours produced. I think it's important that we contextualize that because the revenue profiles of the premium projects that we're producing these days are so different than what they were in the past. They're more ambitious. They take more time and have higher revenue associated with them. So I would deemphasize the number of half hours produced per year as a metric to keep an eye on moving forward. And then just to be specific, I think that we've announced that we're producing a new Johnny Test series for Netflix, which we're really excited about. But in connection with that we were able to license the library to Netflix as well. And we think this is a really interesting model for a company like WildBrain that has meaningful IP and depth of library and one we expect to replicate in the future.
Eric Ellenbogen: Adam, would you like to address the second part of your question again, please?
Adam Shine: Yes, the second part of the question was reference in your presentation deck to efforts to build out some toy brands, greater exploitation on the toy side. And we've seen in the past where there was a prior push per year administration, in terms of the launch of Teletubbies through Spin Master that didn't get a lot of traction? But wondering, what some of your areas of initiatives might be in regards to pushing toys, and whether that's something that can materialize this year in terms of traction or revenue or something to think about going into the holidays, maybe a year from now?
Eric Ellenbogen: Okay, so let me take it in two parts. One, I think we are seeing, as I alluded to in my remarks today. A significant move on the part of toy companies to AVOD and a digital first strategy it's been very interesting, because I find that these things lag. And you can - I've been around long enough to see what happens and the shift from broadcast to cable, and now cable to digital and on-demand networks. And there has been and completely supported by the data and enormous shift of audience to on-demand. And we're seeing as a matter of fact, and homes with smart TVs, which is where it's going right now, huge coviewing numbers and an on-demand dominating, what was a linear environment. So, we've got that platform now. So I think that there is not as there has been in the past and exclusive dependence on just a toy companies in order to move things. We're pulling together, our AVOD network with our brand plans and other efforts. The other thing that's happened, I think in the past and I don't think our company was unique in doing this is, rushing stuff to market. You really have to lead with the content. And it's not about, trying to announce a master toy deal all of a sudden, and ship massive quantities of merchandise into retail channels, when the consumer pull is not there. So, we're being much more deliberate in the way that we - rollout, our new content and making sure and testing by the way. We're doing a huge amount of consumer intercepts and testing against the franchise properties that are highly toyetic. And so stay tuned, we're excited by some of the rollouts that are happening. One of the things I cited as an example is where we get content traction first it's like Chip & Potato on Netflix. You never know what the next hit is going to come from. And that happens to be one of them. And so as opposed to trying to build toy as that content was launched, we're now seeing traction on the content. It's ended up with new production orders. We know the audience is building for that. We're continuing to promote it. And so, we're now going to chase on consumer products as opposed to lead with it. I also think it's worth reflecting that, having been at Marvel and seeing the time that it takes in order to get traction that we need to be very deliberate in the way we do the rollouts. Peppa Pig is a great example I mean, what an incredible property that is. But it grew from 35 licensees over the period of a decade to 1,500 globally. But it was about content investment, it was about distribution investment, and extending into new categories. And that's what really built the business it was brick-by-brick. And so, I think - I tend to believe as something grows like a weed generally it's a weed, and I think we're looking for oaks instead of weeds.
Operator: Next question comes from Drew McReynolds with RBC. Please go ahead.
Drew McReynolds: Yes, thanks, thanks very much. Eric, thank you for all that commentary on the consumer product side, just a couple of follow-ups. I think first, in terms of consumer products-owned business, and let's just simplify what you did in fiscal 2020? Can you just comment on what properties are contributing to that base of revenue? And you were trying to highlight the four properties, you're focused on going forward? As a follow-up, just how is the overall business trending with the recovery in retail. And then just a housekeeping item for Aaron, just on the working capital for fiscal 2021? I know a ton of moving parts, and sometimes not great visibility on collections. But could you provide us a little bit of an update there on what you'd expect for the full year? Thank you.
Eric Ellenbogen: Sure, thanks. So owned consumer products, it's Peanuts and that business has been really solid. And even in the face of COVID, one of the things we're seeing fortuitously, is that classic brands are dominating, not just Peanuts, which is a top 10 brand, but we're seeing it across the board. As retailers are more conservative, certainly we're enjoying online sales. But we're seeing an uptick in the number of approvals and licensees coming on board, which is a good leading indicator. And no question its comfort food. And so, we benefit not only by those intrinsic trends in retail, but I think the competitive set has changed, because there's a greater reluctance until retail stabilizes to move to new and unproven brands. And then of course, we've seen what's happened with the studio distributors and theatrical release schedules and which tend to be big drivers in the rollout of consumer product campaigns, and they're not happening. So in a sense, there's competition that's been removed from the market. And there's a trending towards to classic property so that we are the beneficiaries. So, as far as the other classics, which are in our library, it really is about again, which I cited a deliberate rollout, when the time is right, with the correct content in a thoughtful program, to really build a solid steady state, consumer products business. And I feel really good about what I'm seeing coming from the brands group now tied to the content team, and rollout strategies in both digital media and our own SVOD network, but also with partners, like some of the premium SVOD networks. Aaron?
Aaron Ames: Yes, thanks and Drew what I would say is we've been, prudent and disciplined in managing the investments and really managing risk around our balance sheet. And we'll continue to do that. We've made also a number of improvements in how we manage working capital and collect working capital and the focus is still there. And I expect that to improve. So I expect that the free cash flow should improve next year, given all the work that we're - as well as the disciplined approach and strategic approach that we're taking with our balance sheet.
Operator: Next question comes from Dave McFadgen with Cormark Securities.
David McFadgen: So I saw that you guys started to deploying or tap some of the capital that Fine agreed to fund. And I was just wondering when we might start to see the benefits of that show up in your results?
Eric Ellenbogen: The answer is soon. So the opportunity set is considerable. And the way that I defined it was first perfecting right in our existing IP catalog. And so, since my arrival we've been scrubbing that catalog to identify the long-term value assets that we have, and to the extent that the rights are not complete, completing those rights. Secondary of emphasis has been in partner deals and opportunities associated, which is related to the first category at WildBrain Spark. And again, we have a whole set of partners, proprietary content and other areas that merit investment. And one of the benefits of the structure that was created around this, that you may be familiar with, is that it has no impact whatsoever on our leverage ratio. But the flip side is that, it's going to be accretive because we have the capability to upstream the cash that's generated from the growth opportunities. So, we're seeing a lot of deals out there in the current environment. And I think it's something that we well anticipated. And we're able to get, a huge vote of confidence from our leading shareholder, allowing us to go out and acquire these assets. So, I can't speak to specific negotiations. I see most of these deals as near-term. And I think that we will soon deploy fully the entire fund.
David McFadgen: Okay. So we should start to see the benefit of that show up in the fiscal 2021 year then correct?
Eric Ellenbogen: Again, I don't want to give like when returns start to come, because many of these things are again, perfecting asset value in catalog that we already have. But - it's about accretive investments. And with the deployment of the capital, it's our expectation that we're going to begin to see return soon.
Danielle Neath: The other thing I would add is that we've shown that as restricted cash on the balance sheet at year end. So while we’ve been abroad, it is showing as a separate line on our balance sheet.
Operator: Next question comes from Edson Lai with Stifel GMP. Please go ahead.
Edson Lai: My first one is on the production revenue for the year. I was wondering if you can comment on the split between the proprietary production versus third-party and how that's trended in 2020 versus prior year's?
Eric Ellenbogen: Josh?
Josh Scherba: Yes, I think you continue to see a growth in our proprietary slate which, yes I certainly wouldn't categorize that as a slippage in service, rather how we're deploying our resources at the studio. And of course, when we can do proprietary, high quality premium projects, that's a benefit for us.
Edson Lai: Okay. And just one follow-up question on production as well. I think Aaron, you said earlier that the visibility on the pipelines isn't best yet? Can you give additional color on the backlog and maybe expected utilization over the next year or so? Thanks.
Aaron Ames: What I said was we have the most visibility that we've ever had in our in our pipeline. As far as the backlog, I'll turn that to Josh to talk a little bit about that.
Josh Scherba: Yes, I'm not sure it categorizes a backlog. I think there were, I think we've got, a stable of high quality projects that are lining up. And we're really positive about the slate that we have in front of us over the coming year.
Edson Lai: Okay, anything on utilization or?
Josh Scherba: Utilization specifically at the studio?
Edson Lai: Yes, right.
Josh Scherba: Yes I think we're, look - we continue to, we've got - we continue to use our capacity to the fullest. I think that one thing that has happened as a result of COVID as we've gotten, we continue to have the vast majority of our studio working remotely and we're optimistic about what that can do for us in the future. We never intended to be limited by physical real estate, but practically that was a factor and it's really not anymore. It's going to come down to our ability to grow through high quality projects and talent that we can fill those projects with. But we think there's - we could be optimistic that there's room for more growth than there would have been in a pre-work from home world.
Edson Lai: Okay perfect, that's super helpful. I have one last question on WildBrain Spark. You guys are seeing modest improvements in algorithms - continuing investments in direct sales. But with monetization so volatile in the past year, like how do you guys think about the value of an AVOD view versus and SVOD view or in other words, what are these WildBrain Spark views worth and what key points that gives you comfort around this?
Eric Ellenbogen: As far of course, no advertising so, we view the - our program strategies in SVOD as building library and as awareness. And one of the things incidentally, that we're seeing now, and it's really interesting is our ability, which as a matter of policy have not been the case in the past, to use our AVOD network with clips and promotional content, to drive views to SVOD. So the discovery process has been made incredibly easier. And I think, there's a lot of enlightenment and learning among the SVOD players in the use of AVOD as a funnel for viewers. So there has been considerable liberalization in the licensing practice of SVOD. So I think that, just what we're seeing in Spark, that are on - in our sort of general view is that again, recovery is happening. We're seeing marketers step in, in a way that they have not before, in using our AVOD network. And it's incredible reach, view time, sort of the persistence to launch, toy campaigns and consumer products, particularly when it comes to our co-viewing audience, which is substantial, largely driven by preschool content. And so, the other thing is that market sentiment is turning now. Again, I don't think this is unique to our platform, I think there is a considerable rising tide around the value of AVOD. One of the things, I may have alluded to in past calls, which we welcome is the entrance of mega players like NBC, Comcast, Universal in their top network, which is an AVOD network. And it really is the transformation of this linear delivery into streaming on-demand, advertiser supported on-demand. And I think that that is going to be, great for the market because the measurements tools, the ad sales forces, the focus on AVOD delivery is good for everyone who is in the AVOD business. And as the leading network in the category, we should be a substantial beneficiary of those changes. So, we have this coviewing audience, we have watch time, all that data is pointing in the right direction, as far as the traction that we're receiving and total engagement. And again, compared to the kids cable networks, we now eclipse many of them. So just to give you a factoid, with cable networks in the U.S. We have greater reach now than Cartoon Network, PBS Kids and Net Kids. And that is a tectonic change in the nature of viewing habits in the market, as well as an engagement. And so, it gives us I think, considerable optimism about this asset that we own and I think in many ways, it's a real sweeper.
Operator: And at this time, I'll turn the call over to Miss Chan-Palmateer.
Nancy Chan-Palmateer: Thank you everyone for joining us today. And stay well and we look forward to updating you next quarter. Have a good day. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.